Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Partners’ First Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, May 2, 2017. I would now like to turn the conference over to your host, Ben Ederington, Westlake Chemical Partners’ Vice President and Chief Administrative Officer. Sir, you may begin.
Ben Ederington: Thank you, Valerie. Good morning, everyone and welcome to the Westlake Chemical Partners’ first quarter 2017 conference call. I am joined today by Albert Chao, our President and CEO, Steve Bender, our Senior Vice President and Chief Financial Officer, and other members of our management team. The conference call will begin with Albert, who will open with few comments regarding Westlake Chemical Partners’ performance in the first quarter, as well as the current outlook on our performance and opportunities. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments and then we will open the call up to questions. During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake Chemical refer to our parent company, Westlake Chemical Corporation and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake Chemical and the Partnership which owns certain olefins assets. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management’s beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including operating difficulties, the volume of ethylene that we are able to sell, the price at which we are able to sell ethylene, changes in the prevailing economic conditions, actual and proposed governmental regulatory actions, competitive products and pricing pressures, our ability to borrow funds and access capital markets and other risk factors discussed in our SEC filings. This morning, Westlake Partners issued a press release with details of our first quarter financial and operating results. This document is available in the Press Release section of our webpage at wlkpartners.com. A replay of today’s call will be available beginning two hours after completion of this call until 11:59 PM Eastern Time on May 9, 2017. The replay maybe accessed by dialing the following numbers; domestic callers should dial 855-859-2056; international callers may access the replay at 404-537-3406. The access code is 6894700. Please note that information reported on this call speaks only as of today, May 2, 2017 and therefore you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at wlkpartners.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Ben. Good morning, ladies and gentlemen and thank you for joining us on our earnings call to discuss our first quarter results. In this morning’s press release, we reported consolidated net income including OpCo’s earnings of $86 million for the first quarter of 2017. Westlake Partners’ net income was $10 million or $0.35 per limited partner unit. We are pleased to have completed the expansion of our Calvert City, Kentucky facility, which along with other initiatives added 100 million pounds of annual ethylene capacity. This expansion, along with 250 million pounds expansion of our Lake Charles, Louisiana facility in July of 2016 allowed us to continue with our targeted annual low double-digit growth rates of distributions. Yesterday, we announced an increase in distributions to our unit holders with respect to the first quarter of 2017. This 2.9% increase in distributions is the nice consecutive quarterly increase in distributions to our unit holders since our initial public offering in August of 2014. As previously stated regarding the IRS regulations governing qualifying income for master limited partnerships, we are pleased that the IRS and Treasury upheld its previously issued private letter ruling regarding the production of ethylene in January of this year. We appreciate the thorough process taken by the IRS and Treasury Department to reach its final decision and properly recognize these industry practices will continue to generate qualified income under the code. With this uncertainty removed, all the strategies continue the growth in distributions remained at our disposal, which Steve will speak to. And now I would like to turn our call over to Steve to provide more detail on the financial and operating results for the first quarter. Steve?
Steve Bender: Thank you, Albert and good morning everyone. In this morning’s press release, we reported consolidated net income, including OpCo’s earnings of $86 million on consolidated sales of $277 million for the first quarter of 2017. Westlake Partners’ net income was $10 million or $0.35 per unit. We also reported MLP distributable cash flow of $11.4 million for the first quarter. First quarter net income for Westlake Partners decreased by $2 million when compared to the first quarter of 2016. This decreased net income was primarily due to reimbursements received by OpCo under the ethylene sales agreement with Westlake Chemical in the first quarter 2016. MLP distributable cash flow of $11.4 million was $1.9 million higher than the first quarter 2016 MLP distributable cash flow of $9.5 million. This increase in MLP distributable cash flow was primarily due to the increased production at OpCo’s Petro 1 unit which completed its 250 million pound expansion in July 2016. Partners’ first quarter net income of $10 million was $1 million or $0.04 per limited partner unit lower than fourth quarter 2016 net income of $11 million. This decrease in net income was primarily the result of decreased production at our Calvert City facility as it was shutdown in mid-March to complete the expansion and turnaround which when combined with other initiatives brought Calvert City’s ethylene production capacity to 730 million pounds. MLP distributable cash flow was $400,000 lower than the fourth quarter of 2016 MLP distributable cash flow of $11.8 million. The benefit from the long-term ethylene sales agreement with our sponsor Westlake Chemical is a stable fee-based cash flow. This contract represents 95% of our ethylene sales and protects the Partnerships cash flow from the margin volatility that can be associated with the ethylene business. This ethylene contract, which is structured to generate a margin of $0.10 per pound of ethylene along with its take-or-pay provisions incentivize us to continue to look for opportunities to increase capacity and operating rates. As Albert mentioned, the recently completed expansion of our Calvert City facility along with the 250 million pound ethylene expansion at our Petro 1 plant completed in 2016 allowed us to continue with our plan of increasing distributions to unit holders at a low double-digit growth rate. For the first quarter of 2017, OpCo spent $23 million in capital expenditures as we work towards the completion of the expansion projects in Calvert City. As of March 31, 2017, we had consolidated cash of $123 million, of which $118 million was held at OpCo and $5 million held at the Partnership level. Long-term debt was $600 million, of which $465 million was at OpCo and $135 million was at the Partnership. Yesterday May 1, we declared a quarterly distribution to unit holders of $35.49 per unit. This increase in distributions of $0.99 per unit represented 2.9% increase from the fourth quarter of 2016. Although our Calvert City facility was undergoing planned turnaround in the last two weeks of this quarter for the expansion turnaround the additional production from our 250 million pound ethylene expansion at our Petro 1 facility and provide a coverage ratio of 1.19x per quarter. As Albert previously stated now that the IRS has removed the uncertainty regarding the status of our operations, we have the full complement of strategies available for us. To continue our growth in earnings and cash flow at a low double-digit growth rate including future dropdown transactions with OpCo, organic expansions of our current units, third-party acquisitions and negotiating the higher ethylene margin. Now, I would like to turn the call back over Albert to make some closing comments. Albert?
Albert Chao: Thank you, Steve. The stable fee based cash flow generated by our fixed margin ethylene sales contract with Westlake Chemical forms the foundation for us to deliver long-term value to our unit holders. This enables us to successfully pursue dropdown transactions, organic growth and third-party acquisition opportunities to increase distributions to our unit holders. Looking forward, we will continue deliver low double-digit growth in distribution to our unit holders. While the recently complete expansion as Calvert City and Lake Charles position us to be on that path, we continued to assess all the levers that will allow us to grow MLP distributable cash flow. Thank you very much for listening to our first quarter earnings call this morning. Now, I will turn the call back over to Ben.
Ben Ederington: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we completed the call. We will provide that number again at the end of the call. Valerie, we are now prepared to take questions.
Operator: Thank you. We will now take the questions. [Operator Instructions] Our first question comes from PJ Juvekar of Citi. Your line is open.
Albert Chao: PJ, are you there?
Operator: It looks like our first question will come from Robert Balsamo of FBR. Your line is open.
Robert Balsamo: Good morning. Thanks for taking my question. Just some housekeeping items, our maintenance CapEx was lower than our expectations during the quarter, I was wondering if you could speak a little bit to the full year on timing and how you see the maintenance CapEx spend through the rest of 2017?
Steve Bender: Well, I would expect that there would be some seasonal increase, so they were not material in total, but some seasonal increase as we get into this summer season for some of the work in our internal sites. And remember we completed some of the work at Calvert City’s expansion that ended in Q2. So with these, some carry-over of some of that maintenance work in Q2 and then we get back kind of normalized run rate of maintenance expense.
Robert Balsamo: With 2015 it will be more of a normalized run rate?
Steve Bender: Yes, that would be a good guidance.
Robert Balsamo: Okay, great. And then just as a smaller item on SG&A costs, it looks like its kind of ticked up a little bit during the quarter, anything like that moving forward if that impacted by the turnarounds or anything that might be non-recurring?
Albert Chao: This was a one-time non-recurring step-up, it’s not something I would take you as a run rate.
Robert Balsamo: Okay, that’s it for me. Thanks.
Albert Chao: You’re welcome.
Operator: Thank you. Our next question comes from Matthew Blair of Tudor, Pickering, Holt. Your line is open.
Matthew Blair: Hi, good morning Albert and Steve.
Albert Chao: Good morning Matthew.
Steve Bender: Good morning Matthew.
Matthew Blair: I was hoping you could comment on the $500 million debt shelf filing in the quarter, just what’s your general thinking behind the filing and should we take this as an indication that you may be looking to ramp up jobs in the future? Thanks.
Albert Chao: Well, certainly as you have heard me talk about the various levers that we have available to us, they include certainly drops organic opportunities to expand our plans and we just completed those acquisition opportunities as well. So certainly having this shelf available to us and ready to go is certainly important and appropriate now that we have our business strategies aligned and ready to go forward with that plan.
Matthew Blair: Okay. And what’s your current guidance on the next drops that we should expect?
Albert Chao: Well, certainly as you think about that that’s one of the alternatives we have. And as you look at the growth rate that we have outlined that low double-digit growth rate you would expect that one of those levers will be one of the levers we have used continue that distribution growth.
Matthew Blair: Okay. The release mentioned that production was down quarter-over-quarter, I think in Q4 it was 950 million pounds, could you disclose the production level in Q1.
Albert Chao: I don’t have it right in front of the, but I will follow-up with a call. But the reason of course for the lower production was we took Calvert City off mine in March to undergo this expansion that was completed in April. So there was some lower production simply, because we were undergoing that debottleneck at that time.
Matthew Blair: Right, okay. And then finally, I guess any – so I believe that the Calvert City turnaround stretched into April, any guidance on how we should be thinking about 2Q volumes, is it safe to say that production would be down again quarter-over-quarter in 2Q?
Albert Chao: No, I would expect that we will see that came back up after the completion. I would expect that we will be able to make up those pounds during the course of the quarter.
Matthew Blair: Okay. Thank you.
Steve Bender: You’re welcome.
Operator: At this time the Q&A session has now ended. Are there any closing remarks?
Ben Ederington: Thank you. Thank you again for participating in today’s call. We hope you will join us for our next conference call to discuss our second quarter results.